Operator: Good morning, ladies and gentlemen and welcome to the Ardmore Shipping third quarter 2013 earnings conference call. Today's call is being recorded and an audio webcast and presentation are available in the Investor Relations section of the company's website, ardmoreshipping.com. We will conduct a question-and-answer session after the opening remarks. Instructions will follow at that time. A replay of the conference call will be accessible anytime during next two weeks by dialing 1-888-203-1112 or 1-719-457-0820 and entering passcode 5663112. At this time, I will turn the call over to Anthony Gurnee, Chief Executive Officer of Ardmore Shipping.
Anthony Gurnee: Thank you very much. I would like to welcome everyone to Ardmore Shipping's third quarter 2013 earnings call. First let me ask our CFO, Paul Tivnan, to describe the format for the call and discuss forward-looking statements.
Paul Tivnan: Thanks, Tony and welcome everyone. Before we begin our conference call, I would like to direct all participants to our website at ardmoreshipping.com where you will find a link to this morning's third quarter 2013 earnings release and presentation. Tony and I will take about 15 minutes to go through the presentation and then open up the call to questions. Turning to slide two. Please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from those results projected from those forward-looking statement. Additional information concerning factors that would cause the actual results to differ materially from those in the forward-looking statements is contains in the third second quarter 2013 earnings release which is available on our website. And now I will turn the call back over to Tony.
Anthony Gurnee: Thank, you Paul. Starting on page three of our presentation. On this call, we will outline the highlights of our third quarter as well as recent significant events, discuss fleet developments, provide an update on our market after which Paul will discuss our financial results and then I will recap and open up the call for questions. So first turning to slide five, in terms of our highlights. We completed the IPO on August 1. raising $140 million in gross proceeds. We executed our initial fleet growth strategy by confirming 10 newbuildings in July and August. In October, we continued our fleet growth by agreeing to acquire a 2006 Japanese built MR tanker. So then in total, we have added 11 tankers, increasing our fleet to 21 vessels and enhancing our ability to capitalize on the positive fundamentals for product and chemical tankers. On October 31, we declared a dividend of $0.066 a share for the third quarter which is a pro rata dividend of $0.10 per share for the period this company was public. Also during the quarter, we entered into a commercial arrangement with Vitol on six MRs. These ships will be part of their in-house fleet which benefits from the group's global market presence and whose aim to maximize utilization and thus earnings. We reviewed the charter on the Ardmore Seamaster at a rate of $14,050 per day and we placed the Ardmore Centurion under commercial management in the spot market. Overall we are pleased with our third quarter financial results which were driven by improving rates and fleet growth and reflects our continued performance and improving market conditions. We reported EBITDA of $2.8 million and adjusted $3.2 million after excluding nonrecurring IPO costs. This equates to a net loss of $0.05 per share or $0.03 per share on an adjusted basis. I think it is worth highlighting that if our fleet on order were fully delivered, we would be earning about $0.40 per share annually based on today's rates. Moving on to fleet developments on slide seven. As reported on October 28, we acquired a 2006 built MR tanker, we renamed to Ardmore Seamariner. The purchase price equates to a newbuilding equivalent of just under $29 million. Given that the ship is already very fuel efficient and can be converted to Eco-Mod, we believe this represents good value relative to newbuilding prices as well as other recent second hand market activity. In addition, with expected delivery next month in December, this ship will be an immediate and strong contributor to cash flow. We are continually evaluating opportunities to upgrade our existing fleet to improve earnings capacity. In addition to Eco-Mod upgrades to our TBN Ardmore Seamariner, we are considering upgrades to the Centurion, to bring her up to the same commercial standard as our newbuilding chemical tankers. These upgrades should represent a highly attractive incremental returns on investment. Also we note that the charter rates have continued to improve, vessel values have also strengthened and based on our current estimates, we believe that the units acquired in July and August of this year have already increased meaningfully in value. Now turning to slide eight. You will see our fleet delivery schedule through 2015. We are expecting to take delivery of our secondhand acquisition in December and two more newbuildings in January. The two newbuildings will go on to time charter to Vitol as part of our commercial arrangement and the Ardmore Seamariner will be employed in the spot market or on a one year TC. As a consequence of these deliveries, within the next three months we expect to have over half of our fleet in operation and taking advantage of a rising market and generating incremental near-term cash flow. On slide nine is our fleet employment status. As you can see, it represents a broad base of high quality customers and with a profile of relatively short time charters is designed to maximize commercial flexibility and take advantage of the recovering market. Turning now to the product and chemical tanker markets. First on slide 11, in terms of the product sector. Rates continue to improve with study demand growth matched by net fleet growth to the slower rate, though the supply demand balance continues to tighten. We believe the winter market has now kicked off with the end of refinery turnarounds. The important TC14 route, which is U.S. Gulf to Europe, is up over 70% from Worldscale 90 to Worldscale 155 over the past month which is already boosting MR performance. We believe this is a good indicator of future rate improvements as we get further into the winter. Refinery dislocation is continuing to boost (inaudible) demand. [Jubail] [ph] commenced production in September and meanwhile European refinery closures continue, most recently in Mantua, Italy. Latest estimates suggest that the pace of European refinery closures that we have seen since 2008 will continue until at least 2020 as these small, old and unsophisticated refineries succumb to competitive pressures and new regulatory requirements. Our latest assessment of MR supply growth is in the region of 3% per year over the next two and half to three years, when taking into account scrapping which is continuing at a good pace even with improving rates and so far in 2013, a total of 26 MRs have been scrapped. In terms of sale and purchase, we have already mentioned that newbuilding prices are up to approximately $36 million resale values are around $38 million and secondhand values following suit. Moving on chemical tankers on slide 12. Overall we see this sector following the same development pattern as MR's, arguably at an earlier stage but with very strong demand and supply fundamentals. U.S. shale gas as a chemical feedstock is expected to have a profound impact on the global petrochemicals industry with the U.S. increasing production dramatically over the medium term. We believe the majority of this product will be exported by tanker, much of it to distant markets such as India and China, which will boost already strong chemical tanker demand growth. Regarding chemical tanker supply, the order book now is below 5% and scrapping is continuing at a pace which will probably result in zero fleet growth over the next two to three years. Matched with a very positive demand outlook, we believe the chemical tanker market is poised for a strong and sustained recovery. With that, I will hand the call over to Paul who will discuss our third quarter financial results.
Paul Tivnan: Thanks, Tony. Starting with slide 14. I will bring you through the financial performance for the third quarter, time charter performance and an update of financing activity in the period. The company's earnings continue to experience significant growth as a result of (inaudible) in the second quarter which were in operation for the full period of the third quarter. Rates also continues to trend upwards. The company reported adjusted EBITDA of $3.2 million which represents an increase of $2.4 million from the third quarter of 2012. Revenue for the third quarter was $10.6 million. The Ardmore Centurion is now employed directly in the spot market, so revenues for this year is reported on a gross rate basis. On a time charter equivalent or a net revenue basis, revenue for the third quarter increased by over $4 million from the third quarter of 2012. Regarding our vessel operating expenses, we continue our focus on cost management and we are running on budget for the nine months ended September '13. Operating costs for our recently delivered newbuildings were $5,911 and our operating costs for Eco-Mod vessels were, on average for both products and chemicals, $6,527 per day for the nine months ended September '13. Corporate overhead increased in the third-quarter, primarily as a result of costs associated with the IPO and additional cost of a consequence of being a public company. However, the fleet expense, on a per ship basis, we believe our cost will remain stable and among the lowest of our peers. Our interest and finance cost were $1.1 million as compared to $600,000 in the third quarter of 2012. Interest and finance costs includes capitalized interest costs related to newbuildings. The above resulted in a net loss for the third-quarter of $920,000 or $0.05 per share. After adjusting for non-recurring costs related to the IPO, the net loss was $550,000 or $0.03 per share. Looking more closely at TC earnings on slide 15, we will start with Eco-Design MRs. The company has two Eco-Design MRs in operation which were delivered in February and June of this year. Both the Seaventure and the Seavaliant are performing very well and they earned over $15,000 per day for the period up to September 30. Eco-Design MRs typically earn approximately $1,500 per day over the Eco-Mod MRs reflecting fuel savings of two to three tons per day. Moving on to Eco-Mod MRs. As Tony mentioned, we have recently renewed the Ardmore Seamaster with its existing charter at an improved rate of $14,250 per day plus $250 for the vessel to carry an IMO3 cargo. The markets continue to trend upwards and this represents an increase of $500 per day from the charter renewal on the Ardmore Seafarer which we renewed in the second quarter. On average, for the year-to-date, the Eco-Mod MRs earns $13,754 per day which represents up to $500 increase over the same period last year. Looking next to chemicals. This market is continuing to strengthen as vessel supply tightens. Our chemical vessels operate (inaudible) are directly in the spot market. On average, the chemical tankers earned $10,720 per day in the third quarter. For the nine months ended September 30, the chemical tankers earned close to $11,000 per day which is an increase of $1,700 over the same period last year. In summary then, rates continued to trend up with improvements across all ship types. The company has a balance of vessels in operation and vessels on order ensuring near-term returns on capital invested. Following delivery of the secondhand vessel in December and the two more newbuildings in January, Ardmore will have over half its fleet in operation and generating cash flow. As a result of it fleet deployment strategy, the company has substantial operating leverage and every $1,000 per day increase in rates equates to $0.42 per share on a fully delivered basis. Looking next to the balance sheet on slide 16. At the end of the third quarter, our total debt was $122 million as compared to total capital of $365 million and thus a leverage of 34%. We expect to draw down on our $45 million credit facility on delivery of two newbuildings in January 2014 and our cash in hand at the end of September was $77 million. Moving onto financing on slide 17. We have negotiated a price reduction on some of our newbuildings in return for amendments to the payment schedule. The price reduction of $300,000 equates to an implied return on cash of 5.2% which compares fairly to current cash deposit (inaudible) of 0.5%. In terms of debt financing, we have further discussions with our banks for a debt financing for 10 of our newbuildings and the recent secondhand acquisition and we will continue to move this along in the fourth quarter. These newbuilding vessels do not commence delivery until the end of '14, so we are taking a patient approach to our banking discussions. Finally, in terms of debt financing already in place, we have no maturities before 2018. Turning to slide 19, I would like to turn the call back to Tony for closing comments before we open up the lines for Q&A.
Anthony Gurnee: Thank you, Paul. So overall we are pleased with our progress to-date, cash flow continues to grow with additional vessels and charter rate improvements, the vessels, the newbuilding we have contract to some have increased meaningfully in value, we have acquired a high quality fuel-efficient secondhand MR at an attractive price and we have announced our first dividend which we intend to continue paying on a quarterly basis of $0.10 a share or $0.40 a year. We believe we are well positioned to take advantage of an improving market with over half our fleet expected to be in operation by the end of January and we are strongly encouraged by rising spot rates as we head into the winter season as well as the continued trajectory of MR time charter rates and vessel values. To conclude, I would like to thank you for your time and we will now be pleased to answer any questions.
Operator: (Operator Instructions). We will go first to Jon Chappell with Evercore Partners.
Jon Chappell - Evercore Partners: Thank you. Good afternoon, guys.
Anthony Gurnee: Hi, Jon.
Jon Chappell - Evercore Partners: Tony, my first question is on the Seamariner and the potential of Centurion upgrades. What's the timing associated with that? So if you are taking delivery of the Seamariner in December, should we assume it's going to go right to drydock for an upgrade or will it trade and spot a couple of cargoes as there is a better time when you do that? And then, also what's the cost that you are expecting to be associated with those two potential upgrades?
Anthony Gurnee: Yes. So on the Seamariner, we are evaluating that right now. We don't know exactly where she is going to deliver. She is in a window where we could put her in for intermediate survey and so we may just get the work done fairly quickly, but it depends on where she delivers and how the market looks at the time. On the Centurion, we are still at a relatively early stage in evaluating what we plan to do. So we don't know if that will happening in the front half of '14 or later.
Jon Chappell - Evercore Partners: Okay, and based on your experience with the Eco-Mod process in the past, what's the typical off-hire time associated with that? And then, like I said, also the cost?
Anthony Gurnee: It should be done concurrent with the drydocking. So there is no incremental time off-hire and in terms of cost, it will clock in probably at a few hundred thousand.
Jon Chappell - Evercore Partners: Okay. The price reduction details that Paul mentioned in his prepared remarks, what ships or what newbuilds are that associated with, what are the terms, how much, I guess, did you move forward with the payments and then what are the specific savings associated with that?
Anthony Gurnee: So I don't think we want to be specific about ships but its two of the 10 ships we ordered and we basically just bargained an upfront cash payment for a reduction in the price. So the implied return is 5.2% which, we think, is much better than keeping the cash on balance sheet.
Jon Chappell - Evercore Partners: Okay. Also pretty limited data points so far with only two ships but the $2,500 spread between your Eco ships and the Eco-Mod, little bit bigger than what you mentioned is $1,500 benchmark. How do you expect that to play out going forward, especially as you take the newbuildings? Are you seeing more savings than you had even initially expected to see with the pair of Eco vessels or is this just a timing situation or the fact that there is only two ships that made the spread much wider in the third quarter?
Anthony Gurnee: Well I think the Eco-Designs are performing exactly as we expected. So there is no surprises, positive or negative, there. In terms of the rate, we do think that the spot rate or one-year TC rate for an Eco-Design would be $16,000 or maybe more and that compares to a standard ship of between $14,000 and $14,500 a day. I think our ships are performing a little bit better because as ships deliver out of Korea, on their first voyage they can engage in fairly lucrative palm oil contracts to Europe and so that was embedded in the first rates that we did. So that means they are probably clocking a little bit higher than expected. But we are trying to be a bit conservative. So I would say, we are happy to say that it's at least $1,500 a day, maybe higher.
Jon Chappell - Evercore Partners: Okay. Thanks a lot, tony.
Operator: We will go next to Urs Dür with Clarkson Capital Markets.
Urs Dür - Clarkson Capital Markets: Good morning and good afternoon.
Anthony Gurnee: Urs, how are you?
Urs Dür - Clarkson Capital Markets: Good. I guess the question, moving more over to the chemical markets. A lot of people focus on the product tanker markets, it is almost exclusively these days when talking about a number of shipping companies out there but on the chemical markets, what are the opportunities for growth there? Are there second hand vessels there that might be useful suitable to Eco modify? What's the landscape for the sell and purchase market in that space?
Anthony Gurnee: Well, it's a lot less homogenous than it is on the MR side. Really got a very broad spectrum of sizes and types. So it's really a matter of determining what ships fit you are your strategy and then whether they meet quality standards. They are also built typically smaller. They are built in a much wider range of yards. So it is hard to answer that exactly. I think a very popular and standard size is called a J19, a 19,000 stainless. They tend to be fairly homogenous. The quality is all over the place, we think, with them but that seems to be where a lot of the interest lies right now. So it's a slightly more complex market to evaluate in that sense. We do think there are opportunities and we are looking at them.
Urs Dür - Clarkson Capital Markets: Excellent. Really everything else has been very closely covered by you guys. I appreciate your outlook on the market and thank you very much.
Operator: (Operator Instructions). We will go next to Fotis Giannakoulis with Morgan Stanley.
Unidentified Analyst: Hi, this is (inaudible), on for Fotis. Guys, so I have a question regarding the Atlantic market. So we have seen rate in the U.S. Gulf go up in recent days, especially the triangulation rates and I was wondering if you could, maybe, give us some color about how you see that market developing going forward into the winter season?
Anthony Gurnee: Well, what's interesting is that that TC14 route used to be backhaul whereas TC2 was the fronthaul, now it has reversed. So roughly at the moment, there is about two or three times as much cargo flowing out of the Gulf to Europe as there is coming back to the U.S. That means that now TC14, at least for now, has become the fronthaul and actually the rates now are very strong and arguably the highest they have ever been on that route but that has to be matched with what the follow-on cargo would be and so if you can get a TC2 cargo back, you can earn, I think, up until the 20s now. If not, your roundtrip looks to be in the mid to high teens. So it is a distinct development. I think it looks like the flow is going to continue with some refineries that are still coming out of their turnaround phase. So the volumes ought to continue increasing. We had a look at some EIA data just recently and believe we were able to determine that that the U.S. Gulf export flow is probably up about 7% year-on-year. So it is continuing to grow and we don't think it's going to reverse anytime soon. Though, its really a matter of, now what's going to coming out of Europe that's going to match that to improve the triangulation rates.
Unidentified Analyst: Okay. That's very interesting. Thank you for that. And maybe if you could also talk a bit more about the Seamariner. How was that acquired and how did that deal come together? So if you could maybe give us some information there about that.
Anthony Gurnee: Yes. It was a very standard S&P transaction. So it was done on a semi-private basis. But it was done through broker channels and fairly standard.
Unidentified Analyst: Okay, and can you maybe give us a bit more description about how that vessel will be financed and what the cash rate breakeven after financing?
Anthony Gurnee: So, initially, we were just going to pay all cash for the ship. But as we get closer to finalizing our overall debt facilities, it will be part of a package and we anticipate it will be financed at about 60% level. In terms of breakeven, my guess it would be about $12,500 a day.
Unidentified Analyst: And I guess there was a question before about the expense updates. So what do you expect to be the upgrade expenses going forward in 3Q? What were the expenses in 3Q? Sorry.
Anthony Gurnee: Well, we didn't have any drydockings or upgrades. So the number was de minimis.
Unidentified Analyst: Okay. Well, thank you very much. That was it for me, for now.
Operator: At this time, there are no more questions. This concludes the Ardmore Shipping conference call. Thank you and have a nice day.